Operator: Good afternoon, ladies and gentlemen, and welcome to the Coveo Solutions Third Quarter Fiscal 2026 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Thursday, January 29, 2026. And I would now like to turn the conference over to Mr. Adhir Kadve, Head of Investor Relations. Please go ahead.
Adhir Kadve: Good afternoon, everyone, and thank you for joining us. With me to discuss Coveo's fiscal third quarter 2026 results are Laurent Simoneau, Coveo's Co-Founder and Chief Executive Officer; Louis Têtu, Coveo's Executive Chairman; and Brandon Nussey, Coveo's Chief Financial Officer, and Karine Hamel, Coveo's incoming Interim Chief Financial Officer. A reminder that some remarks made today will be forward-looking statements within the meaning of applicable securities laws including those regarding our plans, objectives, expected performance and our outlook for the fourth fiscal quarter and full year fiscal 2026. These are forward-looking statements given out of January 29, 2026, and while we believe any statements we make are reasonable, they are based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from those expressed or implied. Coveo disclaims any intent or obligation to update our forward-looking statements, whether as a result of new information, future events or otherwise. Further information on factors that could affect the company's financial results is included in filings we make with Canadian securities regulators, including in the Risk Factors section of the company's most recently filed annual information form as well as the key factors affecting our performance section of the company's most recently filed MD&A, both of which are available on our SEDAR+ profile at sedarplus.ca and on ir.coveo.com. Additionally, some of the financial measures and ratios discussed on this call are either non-IFRS measures, ratios or operating metrics used in our industry. A discussion on why we use these metrics and where applicable reconciliation schedules showing IFRS versus non-IFRS results are available in our press release and our MD&A issued today. Finally, please note that unless otherwise stated, all references and financial figures made today are in U.S. dollars. Our presentation slides accompanying this conference call can be accessed on our IR website under the News and Events section. I will now turn the call over to Louis for an overview of our third quarter, followed by Laurent, taking us through a strategic update and we will end off with Kevin, taking us through the financial details and providing our outlook for the fourth quarter and fiscal 2026. We will then open the line to your questions. With that, over to you, Louis.
Louis Tetu: Thank you, Adhir, and thanks, everyone, for joining us today. We have excellent news to discuss. In the third quarter, we broke new records in both subscription bookings and net bookings. This is the strongest new bookings performance in the company's history. Total revenue and SaaS revenue both came in above guidance. And as a result, we are reaffirming guidance for fiscal '26 and are now expecting SaaS subscription revenue and total revenue at the top end of the previously guided range. Customer momentum remained very strong during the quarter with a healthy balance between new customer wins and expansion within our existing base. We signed major new contracts with leading brands such as GE, Liberty Mutual, Total Tools and Insight to name a few. Notably, we secured the largest new customer win in Coveo's history, a 7-figure deal with a Fortune 500 global leader in the industrial sector. We also expanded more than 80 subscriptions and deployments with existing customers, including Deloitte, United Airlines, Ticketmaster, Cardinal Health, Anderson Windows, Thomson Reuters, USAA, Vanguard and Workday, all of whom increased adoption of our AI platform. Our commerce offering continued to deliver exceptional growth. Retailers, distributors and manufacturers increasingly recognize the imperative for AI-powered relevance and are seeing measurable results from Coveo-AI. During the quarter, we closed the second largest AI commerce expansion transaction in our history with Cardinal Health, a customer we discussed last quarter. Cardinal supports more than $220 billion in health care commerce distribution and have validated our ability to deliver enterprise-grade AI at massive scale. How we operate in highly complex environments and generate tangible financial results. Our generative AI solutions also sustained strong growth. Laurent will expand on this opportunity and the growth levers enabled by our continued platform innovation. Overall, it was an outstanding quarter, and Karine will provide the financial details. During the quarter, we announced a strategic partnership with Deloitte, a global leader in digital transformation. Deloitte shares our belief that the future of enterprise digital experiences is AI and relevance first, and this partnership expands our reach across joint customers. We also signed an important memorandum of understanding with the government of Canada to support the modernization of digital services using Coveo AI. We already serve the governments of Australia and New Zealand with modern search and generative solutions for citizens and civil servants. And with Canada, discussions are underway to evaluate large-scale deployments across agencies coast-to-coast to improve efficiency, service quality and digital sovereignty. I am pleased with the pace and value of our innovation. Our strong bookings and increasing number of larger transactions confirm that these breakthroughs are resonating and that our customers anchor Coveo in their core AI plans. We're particularly excited about our RAG as a service and Coveo hosted MCP server offerings. These solutions allow customers to securely ground generative AI and digital agents in permission-aware, context-aware enterprise data, one of the most difficult challenges in enterprise AI. Coveo removes the complexity around retrievals, security and relevance. Building on this, we announced the availability of RAG-as-a-Service for AWS Agentic services, helping AWS accelerate customer adoption in Agentic. We also recently launched the Coveo app for Open AI ChatGPT Enterprise. This brings secure, enterprise-grade relevance directly into natural language workflows. The key takeaway here is that our flexible, agnostic RAG and MCP architecture significantly expands our integration and partnership opportunities across the rapidly growing Agentic ecosystem. Investors often ask us why Coveo is so valuable and sustainably differentiated in an increasingly crowded AI landscape. Why do enterprises choose Coveo often investing millions in subscriptions instead of building these capabilities themselves? The answer is twofold. First, Enterprise AI does not inherently know your data. One of the major most profound breakthroughs of generative AI is its ability to synthesize and stitch fragmented siloed information into coherent answers in real time. However, securely connecting models to complex fragmented enterprise data at scale remains extremely difficult. Second reason, AI does not understand context by default. Enterprises cannot tolerate hallucinations. Customers, employees and stakeholders require accurate answers based on current context and governed data. Achieving this level of precision requires surgical governance of relevance. It's a science. Coveo has spent years building and refining AI models that govern relevance and intelligently connect enterprise data to digital experiences. That technology is critical. Customers consistently measure superior outcomes with our platform, validated through A/B testing and reflected in cost reductions, revenue growth, margin improvement, productivity gains and better decision-making, just to name a few. In the past, search was just retrieval embedded in apps. Today, relevance is what matters. In fact, during the quarter, Salesforce reconnected Coveo Search within its global support portal after customer dissatisfaction during a brief disconnection. While Agentforce is designed to answer questions from within Salesforce Data Cloud, Coveo search relevance is still necessary to surface the exact issue resolving content for these millions of Salesforce users. In our view, Coveo is complementary to agents such as Agentforce. As Laurent will discuss in a moment, AI search and relevance is needed to enrich and augment Agentic, and we have multiple examples of this with Agentforce customers in particular. Today, relevance is a necessary enterprise-wide capability that powers interaction channels and Agentic workflows with consistent precision, security and governance across all data silos. That relevance and connectivity layer is what Coveo-AI delivers, and replicating it requires years of deep enterprise engineering and real-world experience. We are more convinced than ever that Coveo's addressable market is large and expanding. We've built defensible moats and relevance for knowledge-intensive industries and an AI-powered search and discovery for complex consumer and B2B commerce. We have rapidly evolved Coveo into a highly flexible AI platform that allows enterprises to access data anywhere, adapt to multiple AI and large language models and inject context-aware intelligence into any application or conversational agent. This flexibility significantly expands our use cases and market verticals potential. We're particularly excited about the large and fast-growing market for Coveo AI in the industrial sector. Think about manufacturing, distribution, aerospace, energy, medical devices or hardware, for example. Here, we're addressing the economics of uptime and dependability with AI. In the U.S. alone, nearly 10,000 companies generate revenues above $250 million across these industrial segments. Think about assets such as MRI machines, aircrafts, HVAC systems or heavy equipment, downtime costs for these are significant, often in the millions of dollars annually. This creates very compelling economics for our software. As we help increase efficiency and uptime with 360-degree customer care intelligence. Industrial data and content are highly complex and siloed. Our AI can unify it and turn it into context aware intelligence for issue diagnosis, prescribed solutions, service intelligence and complex parts recommendations. So our manufacturing customers can deploy a single Coveo platform as the real-time orchestrated intelligence for self-service, contact center agents, search portals, field service, and of course, linked to complex aftermarkets parts commerce, advice and recommendations, something that is very time consuming and more costly to do without AI. Our AI insights can even be embedded within connected products that then continuously feed back data into our AI models for even greater speed and precision. We are not aware of any other platform that delivers this breadth of experiences from a unified AI intelligence layer. Our mission and conviction remain unchanged since we began combining enterprise search and machine learning in 2012. The world runs on digital experiences. It is now widely understood that all of them will be transformed by AI. Coveo is uniquely positioned as a mature platform that governs and optimizes AI-powered experiences on enterprise data. Before passing it to Laurent and Karine, I want to thank Brandon Nussey, who is stepping down in a few days for his years as our CFO. After a 20-year career as a public company CFO, Brandon is moving to the private company side. Brandon, we're deeply grateful for your contributions and for helping build our solid growth foundation. With that, Laurent?
Laurent Simoneau: Thank you, Louis. First, I'm extremely proud of our team during this record third quarter and how we are positioned for continued growth acceleration. The applied AI market is moving from confusion to clarity. Organizations are now more educated buyers, shaped by early experiments and in many cases, inflated AI claims that failed to deliver. Customers some to Coveo with a strong appreciation for platform maturity and more importantly for provable results. while investment in foundational AI remains strong, the market is shifting towards operationalizing AI with company-specific data and use cases with a focus on tangible outcomes rather than AI as technology and search of problems. One of the largest and most immediate areas of impact is digital experiences, serving buyers, customers, citizens and employees. Persons online with high relevance expectations. Digital and Agentic experiences must be grounded in secure proprietary enterprise data with relevance that remains coherent across the entire journey. Governing AI models to deliver precise relevance is therefore critical. Given the rapid commodization of AI models, flexibility and agnosticism are no longer optional. This is where Coveo plays, providing the trusted foundational plumbing that allows enterprises to realize value from AI at scale and adapt over time. As CEO, for close than a year now, I'm focused on 5 priorities: innovation, value to customers and differentiation, growth and market expansion, disciplined execution and, of course our healthy business economic model. First, innovation. I could not be more excited about the pace and impact of the innovation we're delivering with our customers. The progress is driven 100% by the intentional flexibility of our platform. We covered our MCP server and RAG-as-a-Service launches. The takeaway is straightforward. Coveo delivers out-of-the-box connectivity and governed relevance across digital experiences with security and precision. Our platform is easily accessible to developers, applications and Agentic systems, enabling consistent unified intelligence layer across multiple channels. This capability is central to our expansion into new markets and higher-value use cases. Coveo is now available in ChatGPT Enterprise, AWS Quick Suite and Salesforce Agentforce, for example. In addition, we see many customers independently leverage Coveo through MCP with AI systems such as Anthropic [ Claude ] and others. Organizations will adopt multiple Agentic platforms over time. It is imperative those platforms rely on a common relevance and connectivity layer and Coveo is designed to be that stack. As CEO, I'm fully committed to a strategy centered on interoperability, flexibility and unique value. This capability has allowed Coveo to evolve from addressing a limited set of use cases to broaden its scope across more strategic vertical specific challenges. From a growth perspective, this is also driving broader expansion and more 7-figure subscriptions for Coveo. Once we land in an account with initial more urgent use case, our ability to expand meaningfully with the same platform increases. Second, value to customers and differentiation. Let me share concrete examples. First in commerce, we built on our platform Agentic Discovery solution that moves Coveo from ranking results to orchestrating the storefront experience. Now an intelligent agent can dynamically select and present the optimal mix of products and content to serve both user and business objectives. Over time, Agentic Discovery will evolve into a true end-to-end agent that guides customers seamlessly from free purchase discovery to post sales support proactively recommending products, providing guidance and resolving needs across the entire customer journey. Louis highlighted our growing presence in the industrial sector, including a new 7-figure customer in industrial automation. Their decision reflects our ability to unify content across their complex technology stacks and improve knowledge access and service efficiency. As you know, Coveo AI was built over more than a decade working with leading tech companies. They were the early adopters of relevance driven across their engineering and customer service operations. Today, Coveo is trusted by many of the world's leading technology companies from AMD, Intel, Dell and NVIDIA to SAP, Snowflake and DocuSign. The same dynamic lies across aerospace, energy, transportation, heavy industry, companies such as Halliburton, Schlumberger, Cummins, Honeywell already relying on Coveo. We recently successfully built an AI-powered diagnostic solution for global medical devices company, synchronized with intelligent aftermarket parts commerce. In environments where equipment failure carries high financial and human states, such as an MRI machine, for example, rapid resolution depends on securely interpreting siloed engineering data maintenance, history and parts compatibility and availability through context-aware routes. Without the ability to securely connect and interpret the siloed information at scale, resolution times lengthen, cost rises, revenue declines and outcomes suffer. Related to this, our partnership with SAP remained a key driver of bookings during the quarter and also an anchor in industrial segments where SAP has a deep market penetration. What began with SAP commerce and global retailers is now expanding into multiple knowledge use cases, reinforcing the strategic importance of this partnership. In 2025, Coveo was one of the SAP's fastest-growing endorse partner in the SAP CX ecosystem. I'm also pleased with our momentum in Financial Services, the core knowledge industry vertical for Coveo. During the quarter, a leading global asset manager overseeing nearly $10 trillion in asset under management significantly expanded its Coveo subscription. This customer initially deployed our Generative Answering to support financial advisers handling complex investor questions in real time. The results were compelling, driving meaningful improvements in productivity, consistency and overall customer experience. Based on this success and strong internal confidence in our accuracy and security, they have now extended these capabilities to investor-facing self-service experiences. Today, they are using Coveo AI across more than 40 internal and external digital properties. This, for us, is a big deal. First, this represents a growing 7-figure subscription and constant expansion, but more importantly, this validates Coveo as a core technology platform, delivering relevant accuracy and reliability in highly regulated, high-stakes environment. It also reflects the confidence to move from adviser-assisted to a probably more unforgiving direct customer-facing self-service. These marketing wins with industrial leaders who have the scale to build in-house or choose from many vendors highlight why they partner with Coveo, our agnostic tech stack, platform maturity, and proven ability to manage complexity and govern relevance at scale are the reasons. As Karine will explain, many of our largest customers continue to increase their spend with Coveo. To us, this validates our platform and reinforces Coveo's position as a vendor of choice for generative and Agentic AI road maps. These are powerful illustrations of our long-standing vision of unified relevance in action, a single AI platform connecting internal advisers and customer self-service for a bank, a single AI platform, unifying diagnostics, aftermarket parts and service in one coherent intelligent layer for an industrial company. By delivering high-impact use cases on a shared foundation, we increasingly address strategic challenges for customers and open the door to new vertical markets and expanded technology alliances. Our third area of focus is our growth and market expansion. We are building a powerful growth engine on a single, flexible agnostic AI platform. On the one hand, the strategy drives consumption and subscription expansion with our existing customers by broadening use cases and solving more strategic, higher-value problems in a more integrated way. On the other hand, it fuels market expansion by enabling applications and Agentic to leverage the Coveo platform across multiple new vertical industries. Today, Coveo is focused on commerce for retailers, brands, large distributors, and B2B industrial customers, while remaining a leader in search and generative experiences for knowledge industries, such as financial and professional services. These segments represent a large and growing TAM. We see significant upside from further verticalizing our applications into new markets. So net-net, our customers are expanding with us and we're increasing our ability to serve a broader and more diverse set of customers. Finally, my overarching priority is disciplined execution and a strong sustainable economic model. Focus matters for any successful business. At Coveo, our focus is on playing where we win and where our customers win. Vertical markets where we deliver the highest financial and operational value operates with repeatability and consistency and where we're the most trusted partner for our customers, of course, in markets we carefully select I've shared multiple proof points, and we continue to build a roster of leading innovative global enterprise customers with close to 1,000 brands and organizations with thousands of use cases deployed. And we're widening our competitive advantage and expanding into markets, industries, use cases and channels that were previously unimaginable. At the same time, we remain disciplined about economics. We operate with high product gross margins above 80%, very sticky recurring revenue that grows organically and a favorable customer acquisition costs relative to the lifetime value of our customers. We manage the business with a long-term mindset. We have built a real company with clear strategy to scare, and we believe this is only the beginning. To wrap up, I'm in freely proud of our team's execution in this record quarter. Our focus on innovation and obsession with customer outcomes continues to differentiate Coveo and the flexibility of our platform positions us well to capture the significant market opportunity ahead. Finally, I also want to thank Brandon for his contribution and for being such an outstanding colleague and leader over the years. With that, I'll turn it over to Karine to walk through the financial details. Karine?
Karine Hamel: Thanks, Laurent. As you've heard from Louis and Laurent, we're pleased to report that Q3 was a record quarter for Coveo delivering the strongest bookings performance in the company's history. This was driven by meaningful lend and extend transactions across our core growth drivers, especially our Gen AI and commerce solutions. First, I will quickly summarize our Q3 fiscal 2026 results. SaaS subscription revenue was USD 36.6 million coming in ahead of guidance and representing a 13% year-over-year growth. Within this, Coveo Core platform subscription revenue was $35.8 million, growing 15% year-over-year with ARR growth roughly. As previously announced, we have now fully deprecated the Qubit platform and no longer expect any further Qubit revenue beyond this quarter. Total revenue was $38 million, up 12% from last year. NER on the Coveo Core platform was 105%. Gross margin and product gross margin remained strong and broadly in line with last year at 78% and 81%, respectively. Adjusted EBITDA was in line with our expectations at negative $0.2 million, down from positive $0.6 million in the prior year. Cash flow from operating activities was $0.5 million compared to negative $0.2 million a year ago. Our cash position remained strong at USD 100.8 million as of December 31 with no debt. Getting into further details. As you've heard from Louis and Laurent, Q3 was a strong quarter across the business, marked by high-quality wins, meaningful validation from new and existing customers' transactions and solid and efficient execution by the team. This performance reinforces Coveo's position as a strategic platform supporting our customer search, Gen AI and Agentic AI use cases. NER for the Coveo Core platform was 105% in Q3. As a reminder, from last quarter earnings, this continues to reflect the impact from a single onetime contract renegotiation that took effect last quarter. Without this event, NER would have been 108% in Q3. We emphasized last quarter that this was a unique customer-specific event. What we see from our largest customer is Coveo becoming a core AI tech partner with impressive expansion. To give you some context, our current top 20 customers, none of which individually represent more than 5% of total revenue and averaging more than $1 million in ARR have achieved a 3-year net expansion rate of nearly 150%. Over the past 3 years, this group has materially increased its spend with Coveo. Notably, this period aligns with the broader emergence of generative AI, underscoring how large enterprises are increasingly turning to Coveo's platform to power their AI and Gen AI experiences. Turning into the economics of the business. Gross margin and product gross margin remained strong at 78% and 81%, respectively. As we continue to see strong uptick and proliferation of Gen AI and adoption of some of our newer solutions, we've maintained enterprise best-in-class product gross margin which speaks to our ability to efficiently grow the business. Adjusted EBITDA for the quarter was negative $0.2 million compared to $0.6 million a year ago. Cash flows from operating activities were $0.5 million compared to negative $0.2 million last year. Please note that adjusted EBITDA and operating cash flow both include $1.4 million onetime severance expense associated with targeted workforce optimization actions as part of our continued focus on directing investment towards the highest return opportunities. Coveo ended the quarter in a strong financial position with approximately USD 100 million in cash and no debt. During the quarter, we deployed $4.7 million to retire approximately 1.1 million shares under our NCIB, reflecting our continued focus on disciplined capital allocation. All in all, and consistent with what you've heard from us in the past, our primary focus remains on growing our top line, while operating efficiency and with discipline, supported by a strong balance sheet and improving cash flow profile. I will now wrap up and discuss our guidance. Our revenue guidance reflects the now completed end of life of the Qubit platform. As a result, Q4 SaaS subscription revenue will now consist solely of Coveo's Core platform revenue. I would also like to remind everyone that we recognize revenue on a daily basis. Q4 includes 2 fewer calendar days than Q3, which impacts sequential revenue comparison by approximately $0.8 million. With that context, for Q4 fiscal 2026, we expect SaaS subscription revenue to be in the range of $35.6 million to $36.1 million. Total revenue to be in the range of $37.1 million to $37.6 million. For full fiscal year 2026 revenue, we now expect to exit the year at the high end of the previously announced range. SaaS subscription revenue to be in the range of $142.2 million to $142.7 million. Total revenue to be in the range of $148 million to $148.5 million. Consistent with our prior commitments for Q4 and the full fiscal year 2026, we continue to expect adjusted EBITDA to be approximately breakeven and to deliver positive operating cash flows for the fiscal year. In closing, I will end where I started. Q3 was a strong quarter with solid and efficient execution, record bookings and results that validate our growth strategy. While we remain focused on disciplined execution, we are encouraged by the momentum we are seeing across the business. With that, operator, you may now open the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of David Kwan from TD Cowen.
David Kwan: Congratulations on a great quarter and Good Luck Brandon. I wanted to dig into kind of maybe look at the bigger picture, you mentioned seeing strength across your primary solution areas, which I assume kind of is commerce, service and CRGA. I was wondering though, are you also seeing strength across the customer base? Or is there maybe some pockets in terms of end markets where demand might be a bit softer?
Laurent Simoneau: Yes, sure. David, this is Laurent here. So look, we're seeing a lot of strength with our large customers. And Karine mentioned during the prepared remarks, our NER on the top 20 customers of 150%. These customers are seeing us as a strategic platform, and they are expanding substantially with Coveo, but it doesn't stop at those 20 customers, obviously, and we are seeing market dynamics here where with the interoperability that we're building and the requirements and the interest of customers at connecting Coveo with their Agentic AI frameworks that they are deploying. Coveo is uniquely positioned to cover the ground these Agentic AI frameworks with the enterprise, the enterprise secured platform in a very relevant way. So we are -- Yes, we're becoming critical for these large customers, David.
David Kwan: That's helpful. And when you look at the new customer wins that you've had, obviously, you highlighted that the large industrial customer, Fortune 500. In terms of the solutions that are driving those wins, is it really still primarily on the commerce side and CRGA or are you seeing also on the services side and the knowledge side?
Laurent Simoneau: It's across the board. So B2B commerce, B2C commerce and Knowledge Solutions all fueled with CRGA and with GenAI Agentic capabilities. So -- what is super interesting this quarter, what we're seeing is we are not only fueling user experiences and making user experiences better. We're also making Agentic frameworks better, which is something that we were expecting in the past and now that we are seeing picking up this quarter.
Operator: And your next question comes from the line of Thanos Moschopoulos from BMO Capital Markets.
Thanos Moschopoulos: Can you comment on ARR growth in the quarter broadly, if that was similar to the prior quarter or any uptick in that regard? And then as you look at your pipeline, whether you would expect that to accelerate in the coming quarters, whether it kind of remains at a consistent level. And any color on that front would be helpful.
Louis Tetu: Your question -- Thanos, good to talk to you. Your question specifically is with -- as it relates to the pipeline or the growth?
Thanos Moschopoulos: Yes, specifically just ARR growth in the quarter and kind of the trajectory that you're seeing in that regard based on your commentary.
Karine Hamel: Thanos, it's Karine here. As you've heard on the prepared remarks, I believe I mentioned that ARR growth for Q3 was roughly in line with SaaS subscription revenue growth of 18%. And remember, we have a 3% headwind from the last quarter, renegotiated contracts that you've heard from us. Now when you look at the guidance for Q4, I think you can drive similar patterns in terms of growth there. Does that answer your question?
Thanos Moschopoulos: It does. I apologize. I missed that in your prepared remarks.
Louis Tetu: We're not guiding '27 yet, as you know, right?
Thanos Moschopoulos: No, I understand. And then regarding SAP, we've obviously I heard you talk about your relationship there on the commerce side. Your SAP Service Cloud relationship has been kind of more recent. How is the pipeline building on the Service Cloud side of SAP.
Louis Tetu: Yes. What's really interesting, Thanos with the SAP endorsed relationship is that increasingly as the Coveo platform broadens we become more and more relevant to the broad sector that we described, which we call industrials, where SAP truly dominates. Increasingly, companies don't look at commerce and service in silos. They look at the holistic picture. Let's say you're an aircraft manufacturer. Your goal is to be extremely effective when there is an aircraft on ground to put that aircraft back in the year, for example. And so we're seeing really the convergence of commerce and knowledge, the ability to understand with AI parts availability substitutes, but also diagnosis, recommended solutions et cetera, to serve everything from engineers to self-service to end product, to field service and commerce and so this is increasingly what we're seeing and frankly, what we're quite excited about. And that drives higher value, bigger deals ultimately. We announced in the quarter that we had landed the biggest land ever, and that's one of those examples in industrial. And so this is where the synergy with SAP really lives. So a lot of words here, maybe, but the direct answer to your question is we continue to do extremely well in B2B commerce because -- and B2C commerce with large enterprises because this is where SAP dominates. SAP dominates really the enterprise commerce market, but really, really expanding with customer service and more broadly, knowledge solutions, AI-powered diagnostic and things of that nature. And as I said, this drives high value because we're in the economics of uptime here on those equipments. And that's -- those are significant dollars in ROI. So I hope that puts some perspective on your question.
Operator: [Operator Instructions] And your next question comes from the line of Taylor McGinnis from UBS Company.
Taylor McGinnis: Just to build on the last ARR question, could you give us a little bit more color on maybe what the normalized new -- net new bookings growth or net new ARR growth was this past quarter. So if we're going to adjust for Qubit and the renegotiated contract, and maybe how that compares to prior trends? And then it's just a second part to that question. When you strip out the 7-figure deal within that, I'm curious how bookings momentum was broadly across the base.
Karine Hamel: Yes. Thanks, Taylor, for your questions. So maybe what I would like to add here to give you some color on Q3. We're really pleased with the breadth of the transactions we've seen. Yes, we have highlighted this large 7-digit deal for us, which was a good one, but it's not the only one that made a good quarter. So when we look at both from a land from an expand perspective, size of transactions, names that we have added to our expanding list of customers, we're really proud to all of that going into the right direction. So I don't think there is any normalization necessary with regards to Q3's results. It was a good quarter. Remember that compares to a strong quarter last year, same timing as well. What I want to add as well is when we think about Q4, a couple of things, as you said, Qubit, no more further revenue expecting from that. And when you think of the Core platform, we've got to remember that we're recognizing revenue on a daily basis. And that, of course, will impact sequential revenue for Q4. And then I want to mention as well that we have great opportunities ahead of us. We are very pleased to what we've seen in Q3. And when we look in terms of pipeline and et cetera, we're excited for what is in front of us. However, we can get ahead of ourselves and execution is key here. So I hope it addresses your question, Taylor.
Taylor McGinnis: Yes. And then just last one for me. If I look at the implied guide for 4Q for subscription revenue, it looked like it came down a little bit. So it sounds like you're seeing a lot of really good momentum in the business. So could you just help us square that maybe with a slightly lower guide and what you guys are seeing at the start of 4Q, particularly on the back of some of these AI announcements?
Karine Hamel: Yes, of course. I mean as I said, we're pleased with what we're seeing. We just don't want to get too much ahead of ourselves here, dynamic market. We're getting good signals. We're grounded on execution, and we have a lot of opportunities ahead of us.
Operator: And your next question comes from the line of Paul Treiber from RBC Capital Markets.
Paul Treiber: Just a question on the business momentum. I mean, if you put aside the large customer turning off. The new business bookings have been strong for a couple of quarters now. When you look at it fundamentally, like what's changed over the last couple of quarters? Is it more external factors like customer readiness? Or is it internal factors like sales execution that's allowing you to better capture or convert the deals in the pipeline?
Louis Tetu: It's both, and I'll add a third one. It's also the evolution of our platform and positioning. So first of all, Paul, thanks for the question. So as we said in the prepared remarks, clearly, we're selling to a much more educated market. There's no question there's a huge difference from a year ago where people were still experimenting, lots of hype, frankly, some successes with lots of failures. So customers come to us with a much clearer understanding of the stack and hence, a much greater appreciation for what we do. So that makes much better sales conversations. Number 2 is really the expansion of the platform. The platform is becoming really, Laurent talked about RAG-as-a-Service, MCP servers, supporting Agentic and so on, the flexibility of the Coveo platform to adapt to any data, any LLM, any app and any agent is starting to be recognized and highly valuable to these customers. So that's really what's driving here, the difference. And yes, there is a difference in market dynamic overall, and we're seeing a positive trend here.
Paul Treiber: And as a follow-up, just on -- can you speak to the pipeline for RAG-as-a-Service and then MCP? Like is that a separate pipeline? Is it part of the current pipeline? And do you see the nature of customers that you're -- that's in that pipeline different than maybe your core product?
Louis Tetu: Well, the pipeline is made up of 2 main areas, right? I mean the -- what we call land and expand. So landing new customers and then expanding the existing one. That pipeline is -- would qualify as very healthy for the reasons I've explained before. The recognition of the -- I'll use the term necessity of the stack that we provide to inherently, as we said, AI models do not understand your data, do not understand corporate data and are not really good at relevance and governing that, and that's what we do. So that pipeline is expanding for that reason. And the conversion rates are also in healthy territory. And again, it goes back to the reasons before. The market is more mature, people understand what we do, the flexibility of the platform. So it's really across the board, back to the fundamentals of what we do. And that obviously creates some growth in -- across the board in both Knowledge Solutions and commerce as well.
Laurent Simoneau: And if I may add, Paul, what it does also ultimately drive additional consumption of Coveo, these new capabilities around interoperability, what we do around MCP, servers and so on. It exposes Coveo to additional experiences and also additional Agentic experiences and it will drive consumption of Coveo. So we want this to be as present as possible in our future deals.
Operator: And your next question comes from the line of Koji Ikeda from Bank of America Securities.
George McGreehan: This is George McGreehan on for Koji Ikeda. So I wanted to ask just in light of everything good happening in terms of how Coveo is viewed more strategically by customers and the momentum you're seeing both in expand and land. How do you guys feel about S&M capacity? And maybe if you could share some color on how productivity in the sales force has kind of trended. I appreciate it.
Louis Tetu: So productivity in terms of -- well, I think I'll qualify, George -- this is Louis, I'll just qualify by saying that very healthy performance from our sales team, evidenced by the bookings and the guidance and the performance. But we measure productivity in terms of quota achievement in terms of conversion rate and also in terms of long-term customer value. The types of customers that we land and how we expand them and what's the expand potential of these customers. And I would put all these metrics at green right now. So we're growing when we see -- or I should say, George, as we see a more mature market, as we see very healthy deal economics, convert both conversion and deal size moving in the right direction. Obviously, you'll see us continue to invest and expand our field force. You just don't throw -- you just don't throw a sales team when you don't have a defensible moat or healthy economics. We're very, very pleased with our CAC to ACV, our CAC to long-term customer value. We operate the company at 80-plus gross margin. And so from a product side. And so those are all -- and as you know, net expansion rate is also very healthy. So from a from a sales standpoint, this is where you'll see us invest.
Operator: And your next question comes from the line of Suthan Sukumar from Stifel.
Suthan Sukumar: First question for me is on the demand environment. In terms of recent wins, what would you say has changed? Or what is different about the companies buying Coveo. I was wondering are these companies later adopters? Or did they attempt to do AI without enterprise search and coming back? Or are they moving from competing solutions? And how do you describe the sense of urgency compared to, say, last quarter or 6 months ago?
Laurent Simoneau: So that's a great question. This is Laurent here. So here's what we're experiencing is companies that see the value of AI, that want to invest in AI, but that understand that they need to ground AI in their own content. That's what Coveo does, right? It does really well. They -- sometimes these companies have also started some internal projects trying to build that on their own. And they discovered that it's hard. They discovered that it's expensive, and it's even harder to maintain and evolve. So Coveo is becoming really an important piece of the infrastructure for these large companies. I would say a year ago, we were convinced in companies that it was the case. Now they are adopting this. And not only they're adopting this, they are expanding with us, which is an amazing proof point.
Suthan Sukumar: Great. And for my second question, I just wanted to touch on the Canadian government opportunity. From where you sit today, what are some of the core use cases that you guys are well positioned for to solve for the government. I was wondering if there's anything kind of from a low-hanging fruit perspective that you guys are going to be tackling in the near term?
Louis Tetu: Right. As I said in the prepared remarks, we already do business with agencies such as, for instance, the Australian Taxation Office or the New Zealand Taxation Office, the state of Tennessee or the City of New York or so on. And mostly, it's about using generative AI for acute citizen services and really civil servants insights and so there's a lot of opportunity in Canada to deploy AI. And I guess not unrelated to the overall macroeconomic environment right now, Canada is really taking AI very seriously both from an industrialization standpoint, which we can participate in across the country, but also from a government efficiency perspective, which is top of the agenda for our Prime Minister, Mark Carney. And so as a result, Coveo being one of the Canadian -- sort of Canadian leaders in applied AI has been called by the government and we signed a memorandum of understanding, which is sort of a normal way that the government proceeds to essentially explore deployments across agencies essentially coast to coast. So we'll see how that unfolds. We're not announcing anything. There's nothing formal, an MOU is essentially the equivalent of a letter of intent and government jargon. But certainly, there's a significant opportunity for us to save and we've already said publicly that we can save billions to the government and create that equivalent amount, billions also in economic value with our technology. And we can do that. We have thousands of use cases of Coveo and we can do that in a highly industrialized way. which most people cannot do. And so we think that could be a significant opportunity. Now the MOU was signed by 2 ministers, the Minister of AI, Evan Solomon and Joel Lightbound, the Minister of Government Transformation and Service Canada, so we'll see. I can't speak on their behalf as far as what decisions they'll make regarding their transformation and how they'll deploy AI in the sovereign way in Canada, but it's certainly -- those are certainly discussions underway, as you might expect.
Operator: [Operator Instructions] Your next question comes from the line of Richard Tse from National Bank Capital Markets.
Richard Tse: Yes. It seems like you've sort of had some really accelerated momentum in sort of new verticals or I don't want to say new, but sort of verticals like industrial and financial services. I think you sort of called out industrials in particular. What would you attribute that to? Is that kind of because you made a sales push there? Or is it goes back to your comments that there's more sort of understanding in the market? Like it seems like that is becoming a much bigger opportunity than you have sort of talked about in the past?
Laurent Simoneau: Absolutely. So our customers are bringing us there. We -- the fact that we cover both the commerce part, think about large catalogs and pricing entitlements, inventory and so on and the knowledge side that involves service that involves field service and so on, it becomes a logical next step to handle that altogether. Now what is also accelerating this is search and conversational experiences are allowing to stitch all of this information altogether. So customers are evolving in a way where these new experiences will serve customers, all silos of the customer lifetime into customer lifetime with them, which is highly strategic. So Coveo serves as an infrastructure layer supporting all of that. And because, again, we connect to commerce, we connect to service and knowledge, and we have the AI on top of it to deal with relevance. We become a strategic component for them in the future.
Louis Tetu: Richard, I'll add the following to perhaps illustrate this and for everyone on the call, which is -- which really speaks volume to our thesis and what we're experiencing. One of the most -- and this -- I think for everyone, this is really, really important to understand Coveo. One of the most fundamental breakthroughs or paradigms that new paradigm that generative AI, in particular, enables is the ability to stitch content in real time and bring it in context. So think about how you can go on ChatGPT and essentially ask a very complex question, provide the context and how ChatGPT will literally stitch it for you and tailor it for you. And so if you think about that in the context of an enterprise, data doesn't need to be moved anymore. You do not -- if you think about something like Agentforce, for instance, at Salesforce, it was designed to work on Data Cloud. You need to move all your data into Data Cloud. Well, guess what? And for a lot of use cases, especially the ones we cover, you don't need to do that anymore. Why does that matter is that search and the ability, which we've mastered for now 15 years, the ability to reach content across multiple silos, highly securely govern that process, understand the semantic behind it, vectorize it and then the relevance to understand the context and stitch it together in real time is what we enable. And so fundamentally, as companies discover that, and they understand better than ever how to take advantage of that. And that is really, really, really critical to what the market is realizing to what AI is truly enabling and to what Coveo at the core is doing. We're in the stitch and tailor business. We stitch data and we tailor it. Think about it that way in those terms. And this is why we're becoming very relevant to these customers because of that ability, does that make sense?
Richard Tse: Yes. Yes, that's very helpful. My next question -- your second question here is as workflows shift more away from search and directly in the agents, does that kind of change the revenue model going forward in any way? Or is it essentially the same?
Laurent Simoneau: Well, for us, we have primarily a consumption model, right? So we don't really sell seats. So if the if the usage of Coveo goes through Agentic workflows, it's fully fine. We're going to serve these Agentic workflows just like we serve, user experiences, classic user experiences, and it brings more consumption for Coveo. So we are -- we are quite comfortable with serving this diversity of experiences basically. We're in the good side of Agentic as a summary.
Operator: And there are no further questions at this time. I will now hand the call back to Laurent Simoneau for any closing remarks.
Laurent Simoneau: All right. So thank you again, everyone, for joining us today and to our shareholders for your continued support. We look forward to updating you on our next earnings call after our Q4 and full year results. Thank you.
Operator: This concludes today's call. Thank you for participating. You may all disconnect.